Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2022 Results Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be the question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Freek Borst. Please go ahead.
Freek Borst: Thank you, operator. And good afternoon, everyone and welcome to our conference call, during which we will discuss our operational and financial highlights for the second quarter 2022. With me today are Harold Goddijn, our CEO; and Taco Titulaer, our CFO. We will start today's call with Harold, who will discuss the key operational developments followed by a more detailed look at the financial results and outlook from Taco. We will then take your questions. As usual, I would like to point out that Safe Harbor applies. And with that, Harold, I would like to hand it over to you.
Harold Goddijn: Yes. Thank you very much, Freek, and welcome everybody to our Q2 call. I would like to give you some operational highlights for the quarter. We performed in line with our expectations. Our enterprise business showed good growth mainly thanks to tailwinds from the strengthening dollar and in the meantime automotive performed also in line with expectations. We recorded some important developments. We announced the realignment of our Maps unit in early June as a result of the advances we've made in the automation of our mapmaking and the creation of our new mapmaking platform. And this means we are able to offer a better and fresher map, while becoming more efficient at producing it. And we expect our maps to improve on three axes; first of all, we will have better coverage, especially outside Europe and North America. Secondly, we will add more and richer attributes to our map. And thirdly, a more dynamic update mechanism will result in both fresher and more accurate maps. And as a result of this, we will widen our addressable market. We can license in more geographies and we can serve a broader set of use cases. This quarter, we launched our new navigation SDK. Our aim is to make it much more productive for developers to integrate our technologies. The total navigation SDK is a modular product that combines all of our TomTom location APIs with turn-by-turn navigation to create an effective toolkit for developers in both enterprise and automotive. The SDK unwinds our commitments to creating products that's not only of high quality, but also easy to implement. And even though it's early days, the traction amongst developer is promising and satisfying. This year we signed a three-year coloboration with the Dutch Ministry of Infrastructure of Water Management and we will bring together with them improved safety features to drivers. We also secured several deals as a variety of customers in enterprise in the quarter underlying the versatility and competitiveness of our technology and products. In automotive, we reached a new milestone in our partnership with Stellantis, seeing both the Citroen C5 and Opel Astra picking the road with our navigation stack. These model showcase our upgraded navigation solution and includes over-the-air updates to provide fresh maps and accurate navigation. And with this, I'll hand over to Taco.
Taco Titulaer: Thank you, Harold. I’ll provide some comments on the financials and outlook afterwards we'll proceed on the Q&A. Group revenue in the second quarter was EUR133 million equal to last year. We reported location technology revenue of EUR105 million, that's 2% higher than the same quarter last year. Let me briefly discuss revenue business by business. First, Automotive, the reported revenue of EUR60 million, representing a year-on-year decrease of 2%. Automotive operational revenue increased with 12% to EUR71 million, this is better than the development of car production volumes in our core markets. We consider Europe and North America to be our core markets and compare our performance with car production in these areas. Car production levels in Europe were roughly flat year-on-year, while North America saw production growth roughly 15%. Combined production growth in our core markets was high single-digits. Our outperformance was a result of market share gains. Some of the contracts we signed over the last year saw a ramp up in production during this quarter. Enterprise revenue increased by 8% year-on-year to EUR45 million, benefiting from a stronger U.S. dollar as compared to last year. The exchange rate in Q2 2021 was 1.20 exchange rate in Q2 2022 was 1.08. Based on stable currencies, revenue was flat year-on-year. Lastly Consumer, Consumer reported revenue of EUR27 million, representing a decrease of 9% year-over-year. Then gross margin, gross margin was 83%, compared with 77% in the same quarter last year. Last year's gross margin was negatively impacted by a release of customer-specific costs from the balance sheet. For the full-year, we expect gross margin to be around the same level as we recorded for this quarter i.e. 83%. This compares with a gross margin of 80% last year. Then over to the OpEx, OpEx was EUR165 million and that's a EUR41 million increase, compared with the same quarter last year. This increase is mainly the result of the EUR31 million restructuring charge relating to the realignment of our Maps organization. The gross effect of this restructuring is a reduction of EUR40 million in salaries, which will be partly offset by additional investments. Excluding the impact of restructuring charges and depreciation and amortization, OpEx rose EUR15 million year-on-year. This increase in spending mainly resulted from intensified investments in our application layer supporting our product roadmap. Then over to free cash flow, in the quarter the free cash flow was neutral, compared with an outflow of EUR60 million in the same for last year. Positive working capital development and the higher automotive operational revenue contributed to the year-on-year increase in free cash flow. Lastly, our net cash position was EUR329 million at the end of the quarter and at the same quarter last year, our net cash position was EUR319 million. Having discussed the results for the second quarter let me move to our outlook presented on the next slide. We remain confident that we can deliver our initial guidance as provided at the beginning of the year and reiterated today. With this said, we continue to keep a close eye on external uncertainties. Training and supply chains could continue to affect car production. In addition, continuous higher inflation may force us to increase merit to remain an employer of choice. We expect Group revenue or Location Technology revenue to come in relatively flat in 2022. Group revenue expected to be between EUR470 million and EUR510 million, while Location Technology revenue expected to be between EUR380 million and EUR420 million, we expect revenue growth for 2023. Group revenues are expected to be between EUR500 million and EUR 550 million, the Location Technology revenue between EUR425 million and EUR475 million. Therefore, free cash flow, we continue to expect cash outflow of around minus 5% of Group revenue for 2022. We are proceeding with investments as planned. These investments along with the effects of the restructuring mentioned before are expected to lead to material efficiency gains in 2023. Combined with the continued growth in operational revenue, we expect these efficiency gains to result in positive free cash flow of at least 5% in 2023. The growth in operation revenue expected to account for more than half of the total improvement in free cash flows from 2022 to 2023. We should note that our free cash flow guidance excludes restructuring charges, I mentioned before, two-third of that cash outflows related to the restructuring are expected in 2022, with the remainder expected for 2023. Operator, we would now like to start the Q&A session.
Operator: Thank you. [Operator Instructions] Thank you. The first question comes from the line of Marc Hesselink from ING. Please ask your question.
Marc Hesselink: Yes and thank you. My first question is actually on the automated map building process. Is it now fully automated? If you -- is there are no -- or is there still incidentally that you still need to check some stuff manually? And on the -- what you mentioned with the increase the addressable market in enterprise because of that, can you explain in a bit more detail? Does it mean that, because your cost of making a map are so much lower as you now can move to additional geographies and that's needed to win those contract or is it also about the quality like, you know, achieve of having it, fully up to date? And the first part on the automated map building is actually to get a bit of a feel for the savings and restructuring charge being EUR31 million? On a gross level is also a bit the savings, and then part of that is being reinvested in the application layer. My other question is on the EU regulation on more speed limits. And does that needs to be built into the ADAS functionality for car asset? How do you see that? Is that something that material or increase as your addressable market? What will that do for the ASP and your thoughts about that? Thank you.
Harold Goddijn: Yes, Marc. Thank you very much, it’s Harold. Yes, so first question is that new mapping platform is in a fully automated or is there still manual things we need to do. And the answer is it's very hard to fully automate a map that’s also some of our aim, so there will be indeed a level of activity to add data to the Map database that cannot be fully automated. It doesn't mean we don't use technology for that software of course we do, but it's not an automated process from beginn to end. But we expected over time, the proportion of automation will continue to grow and a proportion of let's say manual or normal automated labor will continue to decline. Second question related to an expansion of our addressable market is that because of cost or is it because of quality. And the answer is it’s because of quality. The map as we know it is predominantly and historically has grown to address the requirements of the automotive industry and navigation. And navigation is the hardest use case probably, because it really matters how accurate and up to date your map is, it has an immediate effect on the driver experience. So the quality requirements on the navigation map have historically been very high, but there's also clearly defined market for that and the unit prices for navigation usage are still high. But next there are other use cases where we have been less successful where our products are less suitable. And that has to do with applications where map display is more important. And there I think you want to show the parks and the railway lines and the -- and also sort of other stuff that are not so relevant for navigation, but are relevant for other use cases. And it is the expansion in the attribution that will open those new use cases up to us. Last question, savings. Taco, could you -- can you say something about the savings we expect there? Or is that not something we can disclose at this stage of the map alignment, yes.
Taco Titulaer: Yes. No, so completely like-for-like and excluding four effects like merit increases and additional investments if you would have a complete like-for-like the saving is EUR40 million on an annual basis.
Harold Goddijn: On an annual basis. Part of that money will be reinvested. Of course, now we start to address new markets with new product. We are also looking hard at our sales capabilities and our capability to actually penetrate in that market in a short period of time with the new product portfolio. And so that's a clear example of what we want to do. And also, we will continue to invest in automation going forward. Last question, speed limits. There is a legal requirement or there will be a legal requirement, I think it kicks in, in 2024 where carmakers need to inform drivers through software what the legal speed limit is. And indeed that opens up revenue opportunities for TomTom. We maintain and what we call an ISA, that is Intelligent Speed Assist, ISA compliant database that carmaker is in a license from us as part of a standard navigation solution or as part of a dedicated ISA application.
Marc Hesselink: Okay, clear. And just shortly, the line broke up a little bit when you just said the number was it EUR40 million the gross savings forty?
Taco Titulaer: Yes. EUR40 million a month.
Marc Hesselink: Okay, thanks. And then one quick one on the updated loop that you can do as well. Is it like now a daily update loop or is it hourly or weekly? What kind of magnitude do I -- should I think?
Harold Goddijn: It depends a little bit. It’s quite a complex thing, but we can update parts of the map in real -- in near real time and that's useful for specific use cases. But if you look at the whole set of maps, it is -- you should think more once a week and once a day, then continuous streaming. And that's because the data need to be converted to certain applications. The data itself is updated continuously, but before you can use it you also need to process, do compute on that map in order to power specific applications. A better map itself will be kept in near real time. Does that answer your questuion?
Marc Hesselink: Okay, very clear. Yes, yes. Very clear. Thank you.
Operator: Thank you, Marc. [Operator Instructions] Thank you for standing by. Now by taking our next question and the question comes from the line of Johan van der Veen from AAOB. Please ask your question. Your line is open.
Johan van der Veen: Hello, Harald. And Taco, I would like to ask you a question mainly on the order intake in automotive. Could you elaborate here a little bit on the request for quoting if they are lending as expected? Then could you give a little bit of flavor there on the market share development and maybe where you are seeing the main market share gains is just from here? What's the -- I would say, the Google trends there you could mention?
Harold Goddijn: Yes. Maybe I can take it. So in automotive the order intake is indeed done via RFQs and we submit RFQs for different stacks and different products, that can be a map, can be navigation software, can be services like traffic or the whole lot. So it also depends on where we are quoting and who the competition is? And we see competition from the two names that you just provided, but also from other players. So I can't give you one answer to that question. Deal 50 is healthy, there are a number of large orders in play. We think that we have submitted a great offer and we are waiting the results. The order intake so far has been good, but we have to wait, of course, the year to proceed to have the final picture. But so far so good, a lot of Deal 50s will slow down a little bit, of course, for the summer period, but we've seen up until July was very busy.
Johan van der Veen: Okay. Thanks. And could you say already something on the traction that is on your IVI software platform?
Harold Goddijn: Yes, there is development going on internally with third-parties implementation is happening. The platform is maturing. So that is on what's happening today. And there are also around the IVI stack quite a few interesting discussions going on, no white smoke yet. But I think we are happy with the traction we have and how that IVI platform has been received so far.
Johan van der Veen: Okay. Thanks.
Operator: Thank you, Johan. There are no further questions. I would now like to hand the conference over to your speaker, Freek Borst for closing remarks. Please go ahead.
Freek Borst: Ladies and gentlemen, since there are no further questions, I would like to thank you all for joining us this afternoon. Operator, you may now close the call.
Operator: This does conclude our conference for today. Thank you for participating. You may now all disconnect.